Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Jack Henry and Associates First Quarter FY 2022 earnings conference call. At this time, all participants are in listen-only mode. After the speakers presentation, there will be a question-and-answer session. [Operator Insructions]. And please be advised today's conference is being recorded. [Operator Instructions]. I will know like to hand the conference over to your first speaker for today. Hey, Kevin Williams, CFO and Treasurer. You may begin, sir.
A - Kevin Williams: Thanks, Brian. Good morning. Thank you for joining us for Jack Henry & Associates first quarter of fiscal 2022 earnings call. I am Kevin Williams, CFO and Treasure. And on the call today is David Foss, Board Chair, President, and CEO of Jack Henry. And just then I will turn the call over to Dave to provide some of his thoughts about [Indiscernible] business, financial sales performance for the quarter, comments regarding the industry in general, and some other key initiatives that we have in place. Then after Dave concludes his comments, I will provide some additional foster comments regarding the press release we put out yesterday after market closed and also provide some comments regarding our updating guidance for our fiscal year 2022, provided in the release yesterday.  And then we will open the lines up for Q&A. First, I need to remind you that this call includes certain forward-looking statements, including remarks or responses to questions concerning future expectations, events, objectives, strategies, trends, or results. Like [Indiscernible] about future, these are subject to a number of factors that could cause actual results or events to differ materially from those which we anticipate due to a number of risks and uncertainties. The Company undertakes no obligation to update or revise these statements, for a summary of these risk factors and additional information, please refer to yesterday's press release and the sections in our 10-K entitled risk factors and forward-looking statements.  On this call, we will also discuss certain non-GAAP financial measures, including non-GAAP revenue and non-GAAP operating income. The reconciliations for historical non-GAAP financial measures can be found in yesterday's press release. With that, I'll now turn the call over to Dave.
A - David Foss: Thank you, Kevin. Good morning, everyone. We're pleased to report another strong quarter of revenue and operating income growth. As always, I'd like to begin today by thanking our associates for all the hard work and commitment that went into producing those results for our first fiscal quarter, particularly in light of the challenges posed by the ongoing pandemic. We continue to operate with well over 90% of our employees working full-time remote and continue to evaluate options regarding an appropriate return to office target for all affected employees. With that, let's shift our focus to look at our SEP performance for the quarter we completed in September. For the first quarter of fiscal 2022, total revenue increased 8% for the quarter and increased 9% on a non-GAAP basis.  Deconversion fees were down more than $2 million over the prior year quarter. Turning to the segments, we had another solid quarter in the core segment of our business. Revenue increased by 8% for the quarter and increased by 9% on a non-GAAP basis. Our Payments segment again performed well and also posted an 8% increase in revenue this quarter, and a 9% increase on a non-GAAP basis. We also had another strong quarter in our complementary solutions businesses with a 9% increase in revenue this quarter and a 9% increase on a non-GAAP basis. Traditionally our first quarter has been our lightest sales bookings quarter because our fourth quarter tends to be extremely strong and the sales pipeline is depleted as a result, As you may recall, the June quarter was the strongest sales quarter in the history of the Company, so we certainly expected this historical trend to hold through.  What we experienced, however, was just the opposite, the performance of the sales organization was again, very strong with a number of notable wins. In the quarter, we booked 6 competitive core takeaways and 10 deals to move existing in-house customers to our private cloud environment. Although our rate of 6 takeaways is light as compared to our normal run rate, it is clear to me that a number of deals fell into the month of October because we booked 6 more core takeaways in October alone. As we've discussed on prior calls, our convert merge backlog is a good indicator for us of what to expect with coming mergers and acquisitions within our base of customers.  We can now see that M&A in the banking space will be very active this year because almost all of our conversion slots for acquired banks are full for the year. We are working to evaluate whether or not we need to add more conversion teams to keep up with the activity. You should expect to see a corresponding increase in deconversion revenue, as some of our institutions are acquired by others in the space. Kevin will provide more detail on this line when he shares his comments. We continue to see good success with our new card processing solution, signing 6 new debit processing clients this quarter and one new credit client. We also continue to see great success signing clients to our Banno digital suite with 35 new contracts in Q1.  Speaking of our digital suite, we're continuing to implement new financial institution clients on the Banno platform at a similar pace to recent quarters. At the end of Q1, we surpassed 6 million registered users on the platform and that number is growing at about 125,000 users per month. At the same time, our Banno platform continues to hold one of the highest consumer ratings in the App Store. The band or digital suite, as well down the path to becoming the industry-leading digital banking solution. The continued success we've seen with sales and adoption of our digital suite is consistent with the expectations coming out of the bank director technology survey published in August.  As they do every year, bank directors surveyed hundreds of their subscribers during June and July regarding a variety of technology prioritization and spending topics. More than 50% of the responses they received were from bank CEOs and our board members, with almost 80% of the responded bank greater than $500 million in assets. This year survey showed an interesting shift as more than 70% of the responding banks had moved efficiency of operation to the top of their priority list, and improved customer experience and an improved digital experience followed closely behind.  To further the point regarding an improved digital experience, this year, 54% of the respondents indicated that their customers prefer to interact with their bank using a digital channel rather than in-branch or over the phone. The survey also indicated that the median increase in expected technology spending for the coming year, was 10% as compared to the prior year. All of this boards well for the future of our digital suite, as well as the other solutions offered by Jack Henry, which helped facilitate an improved customer experience and an opportunity to enhance efficiency in the financial institution. As many of you know, we normally conduct our 2 largest client conferences in the fall each year.  This year, we combine those conferences into 1 event and again, hosted the sessions virtually. We had hoped to be in person this year, but because of the size of the event, we decided that wasn't prudent. As we saw last year, attendance was much larger than our in-person conferences because nobody had to incur any travel expense and they were able to readily drop into virtual sessions. We were pleased to be able to successfully interact in a virtual setting with many of our existing clients and prospects. Last week, we announced 2 pending retirements from our leadership team. Our long time CFO and Treasurer, Kevin Williams, and our CTO, Ted Bulky, have both announced their intent to retire next summer.  As we shared in the press release, we already have a search in process to find Kevin's replacement and will be considering both internal and external candidates. Kevin will be with us until we identify the right person and have them fully prepared to take the reigns. Ted will transition out of his role in January when Ben Mats, our current Head of Digital Solutions, will become our Chief Digital and Technology Officer. Ted will stay for several months after that to help Ben with the transition. Of course, we have many months before each of them actually retire. So I have lots of time to thank them for their many years of service to our associates, customers, and shareholders.  But I would be remiss if I didn't acknowledge how much I've enjoyed working with each of them and how much I appreciate the approach each of them has taken to executing these much deserved retirements. Next week, we will conduct our annual shareholder meeting. We will be hosting this meeting in person in [Indiscernible], but we'll abide by strict COVID protocols to ensure a safe event for all attendees. We are excited to be able to meet with our shareholders in-person again, who were also very aware of the ongoing pandemic-related concerns that arise when you assemble a group of people. We will start an hour earlier than in past years, we'll require all our attendees to be masked and we won't be serving a lunch following the meeting. With these changes, I'm confident we will have a productive and safe meeting.  In our ongoing attempt to communicate effectively regarding our ESG related efforts efforts, we recently published our ESG statement, which provides us a saint and centralized overview of Jack Henry's ESG commitments and material, environmental and social topics. Additionally, at points readers toward other-related policies, like our human rights policy. We've also published an environmental policy that highlights our commitment to sustainability and proper environmental management practices. Both documents can be found on our new corporate responsibility website via Investor Relations.  We created this website to house our sustainability reports and provide a centralized location for Jack Henry's ESG information. Speaking of sustainability reports, our next sustainability report covering calendar year 2021, will be published in March. We have continued to make major advances across our environmental, social, and governance initiatives, and the board has established a quarterly cadence to discuss ESG matters.  As we move forward forward, I'm very optimistic regarding our levels of sales activity and customer responses to solutions we're delivering and the strategies we are executing. We will continue with our disciplined approach to running the Company and we expect that approach to continue to provide stability and solid performance for our employees, customers, and shareholders. With that, I will turn it over to Kevin for some detail on the numbers.
A - Kevin Williams: Thanks Dave. Service and support revenue increased 6% in the first quarter of FY 22, compared to same quarter a year ago. As Dave mentioned, our deconversion fees were actually down $2 million compared to last year, or 37% for the quarter. License revenue was down slightly compared to the prior year. And our hardware revenue was down $4 million or 39% compared to Q1 a year ago. This due to our customers continue to choose our private cloud delivery and therefore not purchasing hardware. Services port line of revenue, primary revenue drivers were our software subscription revenue and our data processing hosting fees and our private and public cloud offerings, which combined, continued to show strong growth in the quarter compared to the previous year, growing combined by 10% for the quarter.  However, the growth in this line was slowed significantly due to the product builder in services revenue, which includes the previously mentioned deconversion fees, license, and hardware along [Indiscernible] and convert merged revenue, which combined were down by a total of 9% compared to the prior-year quarter. Therefore, total support and services net grew 6% for the quarter. Our processing revenue increased 12% in the first quarter FY 22, compared to the same quarter last fiscal year. This increase was primarily driven by higher card volumes with new customers and sold last year and increased debit card usage from existing customers.  Our Jack Henry digital revenue continues to show strong growth as demand for our Banno digital platform continues to be very strong. As Dave mentioned, total revenues at 8% for the quarter compared to last year on a GAAP basis, and 9% on a non-GAAP basis. Our cost of revenue was up 5% compared to last year's first quarter. The increase is primarily due to higher costs associated with customer maintenance, card and transaction processing, along with higher personnel costs compared to a year ago. Research development expense increased 3% for the quarter FY22 compared to last year.  This increase is primarily due to personnel costs. And our SG and expense increased 13% in first quarter compared to the same quarter in previous year. And this increase was due primarily to increased personnel costs and travel-related costs compared to last year as travel increase significantly in Q1 compared to last year. Our reported consolidated operating margins increased from 26% last year to 27.4% in the current year, or 140 bp increase. And on a non-GAAP basis, operating margin expanded from 25.2% last year to 26.9% this year for 170 basis expansion. We had margin expansion in all 3 of our reporting operating segments on both a GAAP and non-GAAP basis.  The effective tax rate for the first quarter of fiscal '22 increased to 23.4% compared to 22.4% in the same quarter a year ago, which is in line with guidance we provided on the previous call. Our net Income grew 12% to 102.1 million for the first fiscal quarter compared to 91.2 million last year with earnings per share of $1.38 for the quarter compared to $1.19 last year for $0.19 or 16% increase year-over-year. For cash flow, our total amortization increased 2% in the quarter compared to last year due to capitalized software projects being placed into service. Included in total amortization is amortization of intangibles related to acquisitions which decreased to $4.3 million this year compared to $4.4 million last year's quarter.  Our depression was down 2% compared to the prior fiscal year and during the quarter we paid dividends of $34 million. Our operating cash flow was $106.5 million for the year, which is down from $114.5 million last year, with the decrease primarily due to the timing and change of various operating assets of liabilities in the calculation of operating cash flow. We invested $46.5 million back into our companies capex and capitalized software. Our free cash flow, which is operating cash flow less capex and cap software and adding back net proceeds from disposed assets was $60.1 million for the quarter.  Our cash position at September 30th was $44.3 million compared to a $195.3 million a year ago, primarily due to the significant stock repurchases we did last year with $65 million drawn on our revolver has done in the quarter and we had no other long-term debt on our balance sheet or lasers. Return on our average assets for trailing 12 months is 13.7%. Return on invested capital for the trailing 12 months is 21.5% and return on equity for the trailing 12 months was 21.9%, which are all very strong. For FY22 guidance, we provided both GAAP and non-GAAP updated revenue guidance in the press release yesterday for fiscal '22. We also provided a reconciliation of GAAP to non-GAAP revenue in the release immediately following the segment information in the release yesterday.  However, just to be clear, this guidance continues to assume that the country continues to open and the economy continues to improve, and if things were to go differently, obviously this guidance will be revised. For GAAP revenue growth for fiscal '22 based on the amounts in the release yesterday, our revenue guidance has range of 8.6% to 9.1%, approximately over previous year. We now anticipate deconversion revenue to be approximately $42 million to $43 million for the entire fiscal year, with significant percentage of that being in Q2 and Q3. For non-GAAP revenue growth, we continue to guide to a range of 7.5 to 8% growth for fiscal year.  Obviously, these will be updated during the year. We continue to anticipate GAAP and non-GAAP operating margins to improve in FY 22 compared to last year, as we should have very nice margin expansion in our payments segment, and anticipated higher deconversion fees. However, I continue to be somewhat cautious on guiding to too much of an operating margin expansion. As we will continue to have headwinds on license and hardware revenue as we continue to move core customers from on-premise to our private cloud and also travel costs will continue to increase significantly compared to the prior year.  Our effective tax rate RevPAR 22 continues to be projected slightly higher at approximately 23% compared to the prior year. Obviously significant changes in corporate tax structure could change this guidance. And our FY 22 GAAP EPS guidance is range of $4.064 to $4.073, which is an increase from the prior guidance of $4.053 to $4.060. This concludes our opening comments, we're now ready to take questions, Brian, we please open the call lines up for questions.
Operator: Our first questions come from Vasu Govil with KBW.
Vasu Govil: Hi, thanks and I wanted to congratulate Kevin on announcement of your retirement. We will be sad to see you go but now we have a couple of more quarters to talk with you. I guess my first question is on the word merger comment that I think David you make that you're seeing strength there, I know last quarter you had said that you expect it to be better this year, but it didn't seem like we were really including much in the guide. I just want to get a sense of what you're including in the guide versus what could be upside based on what you're seeing.
David Foss: I said in my comments, the convert merged slots and just to make sure nobody is clear when we reference convert merge, it's -- it happens when one of our institutions is acquiring another institution. They notify us well ahead of time, well before the conversion actually, or the acquisition actually happen. They notify us that they will need our help to convert the acquired institution onto the Jack Henry platform and so we hold those slots. In the past several weeks here, that volume has increased significantly, or customers contacting us to hold conversion slots and essentially sign contracts to lock those in.  And so that's why -- what I said in my comments was, every conversion slot now on the banking side of our business is filled for convert merge activity through the remainder of the fiscal year, and we're evaluating whether or not we need to add more teams. And the reason for that evaluation is we have to keep an eye on, does a deal fall through? Since they notify us well ahead of time and ask us to hold a slot and they they will contract in front of them. But does that deal fall through? We have -- we've been doing this for a long time. We're very good at predicting what's going to actually happen and what's not, but everything that we have today that is known, that is booked, is worked into the guidance that Kevin provided to you, but there is more potential opportunity out there.  We may stand up if demand justifies that, we may stand up an additional conversion team, or even 2 conversion teams, we've done that in the past. And so we'll just have to follow that as it goes. But what we know today is included in the guidance that Kevin has shared with you. But there is still potentially more opportunity there based on what happens with our customers. The key messaging there was just for you all to know that convert merge or M&A is back in the banking space. That not only is a real positive for us and that we have customers acquiring other customers and we generally are paid on account volume and transaction volumes. That's good for us when they get merged in. But then also for you to be aware that deconversion revenue will probably go up because we know that some of our customers will also be acquired away from us as M&A continues to grow.
Vasu Govil: That's very helpful [Indiscernible] Thank you. And just a follow-up I had was on the payments segment, It has been to me coming into the quarter that morning, you would probably be the high watermark and then kind of level off from there. I didn't the revenues in the quarter were at that lighter than what we were modeling. I just am curious to see where they came in relative to your internal expectations. And I know debit volume rolled off a bit, is that probably impactful to your Payments segment?  And then if you could also comment on what's going on in the bill pay business. I know softer trends across the peer group, but, but if you comment on -- if you have any insights on, is that just more competition from digital wallet or for something else which is driving bill pay revenue to be flattish
David Foss: So there's a lot in the -- on the payments line of course 3 and you highlighted there, so 3 primary components in the payments line for us. So the Payments segment for us, there's bill pay revenue, there's card revenue, dividend credit and then there is what we refer to as EPS enterprise payments solutions. The bill pay bill pay line or the bill pay business continues to be relatively flat. I mean, there's some growth, but as we've talked about on the call before, anybody who needs the bill pay solution has a bill pay solution. Volumes aren't really fluctuating. that much, so it's relatively flat in the bill pay business.  The card business is continuing to grow. We're seeing nice growth not only because we're adding customers, but because now as the pandemic numbers have dropped again, here in the early fall, transaction volumes, we've seen a definite correlation between transaction volumes increasing as infections have -- reported infections have dropped. And so that's a key part. But the enterprise payments business is continuing to grow very nicely at the smallest piece of that segment. But the fastest-growing piece of that segment.  And that is driven by remodel by capture, but also by it's origination's. And so we have a number of customers who have signed with that platform recently and some that we'll announce next year, I think as they come live, that we'll be continuing to drive big volumes through that platform. So it's the combination of those things, but I think are driving the payments revenue, and all of those are positioned well for continued growth in the coming year.
Vasu Govil: Thank you very much.
Operator: Thank you. Next, we have Kartik Mehta with Northcoast.
Kartik Mehta: Hey, good morning, Dave and Kevin. Dave, I wanted to maybe get a little bit more on your sales pipeline question. I think when you spoke last earnings call, you talked about that FY2022 pipeline would be up 3% to 5%, if I remember my numbers right. And I'm wondering what's your expectations are, it sounds like things are going well, but it would be interesting what your expectations are for the growth in the pipeline for this fiscal year?
David Foss: Yeah, that's a good question. I have no hesitation about reaffirming 3% to 5%. Can it be greater than 5%? It's little early probably for me to commit to that, but I will again say with no hesitation, 3 to 5%. And in fact on the high end of that, I easily sign up for 5% based on what we're seeing right now below the core, it's been interesting watching core deals as we've come out of the real trough of the pandemic.  And obviously the pandemic isn't over, but we're deals are really lumpy right now, but there is a tremendous amount of activity as far as side of the business. And then if you look at the rest of the suite of Jack Henry, the forecasts are looking or the pipelines are looking very, very strong right now. So I'm,-- like I say, very comfortable signing up for the high end of that guide and it could be even higher but I think we need a little more time under our belt here to make sure that I'm not overextending.
Kartik Mehta: Kevin, I know you talked about [Indiscernible]margins in your idea, a little bit cautious, but you had an excellent quarter this quarter, it seems like margins are probably better than you thought. I'm wondering maybe your reluctance to think you will be better than the 50 basis points you talked about last fiscal year, is it just too early in your opinion or are there other things that might impact margins that we should be aware of.
Kevin Williams: Yes. I mean, Kartik, there's so many moving parts this year that are coming back that weren't there last year. I mean, deconversion fees is obviously going to be higher. As Dave mentioned, convert merge I mean, M&A activity just, just drive so many different moving parts within our financials. I mean, so obviously travel is going to be a lot higher. There's other costs, there are salespeople are getting out in travelling more so, just just the travel expense is going to be higher. May as a possible that our total margins should be higher?  Yes. Obviously, the Q1 margins are proud of the highest of the year because of all the software subscription revenue that we recognized in Q1 for all the software has been delivered in the previous years. So this, this is high watermark for margins for the year. But the other thing I will say if [Indiscernible] was down almost 40% this quarter which -- which that actually helps our margins by hardware revenue being down, which is, I mean, it's samples we're but if hardware revenue would level earning will go back up a little bit for the year, because I'm sure IBM will come out with additional hardware upgrades. Could that impact our margins yes? So I mean, I'm still very comfortable that we can hit the 50 bps and could it be higher than that. Yes. But I'm separated stepping on that Lemia.
Kartik Mehta: Thank you, Kevin. I really appreciate it. Thanks, Dave.
Operator: Thank you., next you have Beep Heckman with DA and Davidson.
Peter Heckmann: This is John on for Peter, is a quick question. Are you touched on that in the prepared remarks, but was expectation for deconversion fees. And how does it last? And then each quarter again?
Kevin Williams: So we increased deconversion fees, we think is going to be somewhere around $42 to $43 million. And again, that's looking at the crystal ball because there -- we don't know for sure that's what's going to be that's just the indications that we're getting. But we think probably 80% of that will probably be in Q2 and Q3 based on what we know right now. So deconversion fees in Q2 and Q3 could be $15 million or so plus in each of those quarters.
Peter Heckmann: Got it. Thank you. And that non-GAAP payments segment growth was 9%. What was the segments could you see that grew notably faster or slower than the segment average?
David Foss: I assume you're referencing my comments earlier, John, about the three different pieces of the payments segment, is that what you are asking about?
Peter Heckmann: Yeah, exactly.
David Foss: So 3 pieces, bill pay, our card business debit and credit and then what we refer to as EPS enterprise payment solutions, which is [Indiscernible] SCH. The Enterprise Payment Solutions business is growing the fastest, but it's the smallest of those three components. So the card business is the largest, the bill pay business, second largest. Bill Pay, really relatively flat. It's growing a little bit, but like I said, most anybody who needs bill pay has Bill Pay and volumes don't change that much in that piece of the segment. But the card business is growing nicely both because of new customers that we're adding and because of just volumes picking up again. And then the fastest is also the smallest, which is Enterprise Payments.
Peter Heckmann: Got it. Thank you so much.
David Foss: Sure.
Operator: Thank you. Next we have David Koning with Baird.
David Koning: Yes. Hey, guys, thank you. And I guess, first of all, just as we look at the market, we hear a lot about the super apps and how they're progressing. Is there a much different that a super app can do than what kind of Banno client that's on the Banno system can do? And do you even do some work for a lot of the super as to how to help them grow as well?
David Foss: Well, I am not exactly sure what you're including in the super app buckets. They've I mean, they others, there's lots of stuff going on out there. We are working. So the thing about the bantle platform is -- it is built to work with an open API based platform. So modern technology stack open API based platform, you saw -- hopefully you saw the press release we did in October where we announced the partnership and integration of finicity, Akoya, and Plaid. All of those relationships are designed to provide greater functionality on this digital platform to connect FinTech solutions to other FinTech solutions.  Our goal with the platform is not only to offer the best experience for the consumer and small business through a single digital experience, but also to provide the best platform in the industry to create that inter-connectivity of applications to other applications. The other thing that we're trying to do through all of that, and this is important when you compare to modern technology stack like we have with Banno, as compared to other things that are out there is we are close to being able to eliminate screen scraping.  And if you're not comfortable -- if you're not familiar with that term of screen scraping, that's what happens with older applications where a consumer, let's say you're trying to consolidate all of your accounts on one in one experience on one spot, one digital experience, well, the old approach, which most companies out there are using widely today is screen scraping, where the consumer provides their credentials, their log on and password into some central location, and that central location goes out on, essentially simulates being a consumer going on in pulling down balance information or you can probably imagine the security -- potential security and privacy issues that come along with that, and so we've been working very diligently for several years to eliminate all of that in our platforms.  And they use this integration that we've done with Finicity, Akoya, and Plaid. And the other moves that we've made with our digital platform have us right on the cusp of eliminating all of that well ahead of anybody else, any of our traditional competitors when it comes to offering a truly state-of-the-art digital experience.
David Koning: Got it. Yes, thanks because it looks to us like growth in core and really the whole business you're doing about as good or are actually better like your core segments about the best expand in a few years, In terms of growth, like it just seems like momentum is as strong as ever. There's no real like competitive changes in the environment if anything, it seems like the environment is -- is strengthening maybe for you,is that fair to say?
David Foss: That it's fair to say, so we are you're -- you're accurate with signing and I've emphasized that many times signing core takeaways, gaining share on the core side of the business. But a lot of that is driven by all this other outstanding technology that we're delivering and the tight integration that we're doing not just with Jack Henry products, other Jack Henry products, but Jack Henry products to the other things out there in the industry that people want to be able to use the FinTech solutions out there.  We are providing that connectivity easily. In the press release again, but referring back to the Finicity Accordion Plaid Release, if you look at the headline it's zero-cost, zero-lift. We're doing all that for our customers, zero - costs, zero - lift. Why would you do that? A, it's the right thing to do, but B, in long-run, it's less expensive for us as a provider if our customers will adopt those types of things, all of that thought, all of that approach, all of that philosophy around delivering technology is being recognized in our industry and Jack Henry is getting credit for it and customers are moving to our platforms as a result.
Kevin Williams: And Dave, one more thing, just remember the one of the big drivers in our core growth is the continued movement of existing on - prem customers to our private cloud because we get a nice lift of revenue and move those as Dave said in his opening comments, we signed 10 more in Q1 to make that move, and we are seeing larger FIs that are on - prem, they're electing to make that move as well.
David Koning: Great. Well, thanks, guys. Good job.
Kevin Williams: Thanks, guys.
Operator: Think you. Next we have Ken Suchoski with Autonomous Research
Ken Suchoski: Hi, good morning, David and Kevin. Thanks for taking the questions here. I just want to follow-up on that last comment about the shift in a core customer from on-trend to the private cloud. I mean -- what's -- maybe you can help us understand the revenue lift that you might get from that on a per customer, per unit basis.
Kevin Williams: So on average, if you look at the an on - prem -customer day, everything that they're paying us, which would be in-house maintenance could be disaster recovery, it could be hardware maintenance. There's several buckets in line items have revenue that they could be paying us. But on average, when an on - prem -customer moves to our private cloud, the revenue that we get out of that customer essentially doubles. And there is very little cost increase because remember, it's the exact same software, it's the exact same support organization. We've got the infrastructure in place of their data centers. There's very high margin from that additional revenue when we moved those customers from on - prem to our private cloud.
Ken Suchoski: That's very helpful. And then maybe just a question on the payments segment, it looks like on a non-GAAP basis, the growth in this segment slowed from about 17% last quarter to 9% This quarter. What drove that slowdown and I guess what are your expectations for that segment going forward?
David Foss: I don't recall the 17%. I mean, that segment is growing very well, we're very happy with what's happening in the segment.I don't remember us reporting 17% last quarter.
Kevin Williams: Well, but you also got to remember that Last Quarter was compared to the previous years [Indiscernible] That was -- what was significantly impacted by COVID --
David Foss: Was the depth of payment
Kevin Williams: -- it was the depth of payments in April and the first part of May in '20 so it was a very easy comp in -- for Q4 of '21 compared to Q4 '20. So I think the 9% growth we showed this quarter is probably more an example of what you're going to see for the entire fiscal year.
David Foss: Right.
Ken Suchoski: Okay. And then just last one from me just on the share repurchases. I don't think you guys bought back any stock in the quarter. I think in the prior quarter you had a larger buyback. I guess thoughts on overall capital allocation at this point and what are your thoughts on repurchases at the current stock price?
Kevin Williams: Yeah. So I mean, obviously we're going to continue to buy back stock here in there. I will tell you that this quarter, one of the reasons that we were -- we didn't buy any stock back was we were actually trying to get some tax planning in place based on what the new administration was proposing on the table. Because we were going to use were potentially you significant amount of cash to pay upfront taxes for a number of reasons. But now now that the third, they are changing the corporate tax structure actually took a totally back out to where they're not even a change the 21%. It's a wildcard right now, but I mean, as the tax [Indiscernible] we figured out exactly where it's going to be. Obviously we use some of our capital buyback more stock during the year.
Ken Suchoski: Thank you very much. Really appreciate it.
Operator: Thank you. Again, ladies and gentlemen, [Operators Instructions]. Next we have Dominic Gabriel with Oppenheimer.
Dominic Gabriel: Okay, great. Thank you so much for taking the question. I appreciate the commentary on Banno and the partnerships with other fintechs. I guess what open APIs are typically adopted with Banno across your peers. It could you just offer that functionality in-house, maybe just discussed. The puts and takes life. Partner partnerships are the way to go versus just expanding the capabilities. Or maybe I'm just not understanding the dynamics there. And I just have a follow-up.Thank you.
David Foss: Sure, yes. So I -- I'll -- I'll try not to be a -- I think you're misunderstanding the dynamics, so you said it yourself and I'll -- I'll just repeat that. When we use the term partnership, that doesn't mean that we're reselling somebody else's stuff, that we're exchanging revenue, that there -- there's something like that, or that we're missing a piece, in this day and age with all of the new feature function that's happening with FinTech and with the demand that our customers, that bankers have from their customers, their consumers, to use different -- different things, different pieces of technology that they've come across. The future for banking and the future for a provider like us is to provide open connectivity so that the customer -- our customer, the banker, can choose to integrate whatever they want to integrate into our platform.  What's we are moving toward -- what consumers are moving toward is, they are very sensitive to the fact that the data is their data, like I'm the consumer, it's my data, it's not your data, It's my data. And so it happens to be housed at this bank but I want to access to that data and so the bank is now more than ever very sensitive to that idea that they need to provide access to that data in a secure manner, to a variety of different sources that the consumer chooses to want to use, or that the bank may choose to want to use.  So we are continuing to innovate on our technology. And the reason that the Banno platform is so well regarded and has the highest ratings in the App Store is because we have the best functionality out there. But you can't do everything, right. Not every idea that every FinTech comes up, it's just not possible to write all of that code into one application. And so providing that platform for open connectivity is the best of all worlds. It gives us this reputation of being open and being innovative, but it also provides the banker the opportunity to connect whatever they want to connect into that platform and take advantage of the data for the benefit of their consumer, whether the consumer is an individual or if it's a small business.  And so what -- what we're doing today is being recognized regularly as being really industry-leading in providing that open connectivity and that opportunity for the banker to choose as opposed to us going to them and say, ''You must use our platform whether you like it or not. '' And this is not new for us. We have always been extremely open on back from when Jack and Jerry started the Company 45 years ago, we've always had -- because we started just a core provider and we had to let them use any third-party.  I mean if you think about our investor confidence Dave refer to as open opening comments, I mean, we typically have well over a 100 or an over 300 other vendors at our tech fair to show up to where so we've always been open. The fact that open API's just makes it that much easier for a third-party to integrate into our core solutions?
Dominic Gabriel: Perfect. Thank you so much for all that clarification. I really appreciate it. And then, as you think about the net M&A activity affecting your partners, how do you think that could change the geography of your average asset size of your underlying banking credit, credit union mix? And where do you typically win, and which sized clients get taken away from the Jack Henry platform? And then, perhaps -- sorry. Just a final on this, for clients that do get taken away, and that create these deconversion fees, what about the win back rates? Perhaps they -- the one that got taken out was using Jack Henry, really liked it, and then they explain the benefits there, and then you could win, perhaps, the entire relationship later. Does that happen? Maybe you can discuss all those factors. Thanks so much.
David Foss: Dominic, you've got a lot packed into that one question, but they're things I love to talking about.
Dominic Gabriel: Sorry.
David Foss: Give me about an hour-and-a-half, I'll try and fill you in. No, seriously. First up, we -- when M&A happens -- I'll answer your question from the beginning and work forward. Does it happen that customers are acquired away and then they come back to Jack Henry? Yes, that happens is -- and in fact, it's more often than you might think where somebody gets acquired the logical thing is for the acquiring institution to convert them to whatever they're running. And then once they get integrated in, the people have been acquired, suddenly start to say, we had a better on the old platform than we have in a new platform let us tell you guys what we used to be able to do with Jack Henry. And it's often times the combination of the technology and the relationships. This is a relationship business partnership is a key.  Part of what we do. And so often times the acquired institution will educate the acquirer on what it was like do business with Jack Henry. So we do when those occasionally. The other thing that when once in a while is what -- is let's say that an acquirer is targeting one of our institutions, we know that that's happening. We can often time sell the acquirer on converting to the Jack Henry platform as opposed to the acquirer using whatever it was they had before the -- before the acquisition was announced or before the deal was announced. And so, those -- we refer to those as winter merger, and those we've been successful at. But the heart of your question -- the beginning of your question was -- that is the power.  The beginning of your question. Sorry, we have a little phone issue going on here. The beginning of your question. Most of the M&A activity is happening at the low end of the range. Real small institutions being acquired by large institutions. And we don't tend to serve the real small institution. That tends to be good for us. That usually, we are the benefactor, one of our institutions acquiring a smaller institution, as opposed to ours being acquired away. But to the very beginning of your question, what that means is, our asset base among our customers is growing because those larger customers in our base are acquiring smaller customers. And so over time, we will continue to grow as far as average asset size.
Dominic Gabriel: Thank you so much. I really appreciate all of that. Thank you.
Operator: Being there are no further questions, I will now turn the call back over to the speakers.
David Foss: Again, we're pleased with the overall results of our ongoing operations. I want to thank all of our associates for the way they've handled these challenging times by taking care of the sales and our customers, and continue to work hard to improve our Company, and to continue moving forward for the future. All of us at Jack Henry continuing to focus on what is best for our customers and our shareholders. Again, I want to thank you for joining us today. And with that, Brian, will you please provide the replay number?
Operator: Right? On call replay will be available 2 hours after the call is concluded [Operator's Instructions]. This concludes today's conference call. You may now disconnect.